Operator: Good day, ladies and gentlemen and welcome to the Standard Motor Products Third Quarter Earnings Release. [Operator Instructions] Please be advised today's program may be recorded. It is now my pleasure to turn the program over to Executive Chairman, Larry Sills. You may begin, sir.
Larry Sills: Good morning, everyone, and welcome to Standard Motor Products Third Quarter Conference Call and we appreciate you are taking the time to attend. Here from the company is Eric Sills, President and CEO; Jim Burke, Executive Vice President and Chief Financial Officer; and myself, Larry Sills, Executive Chairman. Our agenda for today, Jim is going to review the numbers; then Eric will go into some detail on a few of the highlights; and then we'll open it for questions. So with that, let us begin and I turn it over to Mr. Burke.
Jim Burke: Thank you, Larry. Before we begin, as a preliminary note, I would like to point out that some of the material we will be discussing today may include forward-looking statements regarding our business and expected financial results. When we use words like anticipate, believe, estimate or expect, these are generally forward-looking statements. Although we believe that the expectations reflected in these forward-looking statements are reasonable, they are based on information currently available to us and certain assumptions made by us, and we cannot assure you that they will prove correct. You should also read our filings with the Securities and Exchange Commission for a discussion of the risks and uncertainties that could cause our actual results to differ from our forward-looking statements. All right. To begin, overall, there were two primary drivers impacting our results in the third quarter. First, the decline in the Temperature Control sales and second, the Engine Management gross margin reduction. I will address each in more detail when reviewing the segment results. Our consolidated net sales in Q3 '17 were 281.1 million, down 19.7 million or 6.6% and for the nine months were 876.2 million, up 47.5 million or 5.7%. Excluding the General Cable incremental sales from our acquisition at the end of May 2016, our nine-month sales increased 9.1 million or 1.1%. Engine Management net sales in Q3 '17 were 196.8 million, down 4 million or 2%. And for the 9 months were 631.4 million, up 51.1 million or 8.8%. Again, excluding the incremental General Cable wire sales, our nine-month sales were up 12.7 million or 2.2%. Temperature Control net sales in Q3 '17 were 81.2 million, down 15.7 million or 16.2%. And for the nine months were 238.8 million, down 2.2 million or 0.9%. 2017 quarterly Temperature Control sales were volatile. Q1 sales were up 24%, reflecting preseason ordering, Q2 sales were essentially flat and now Q3 sales were off 16%, all yielding to year-to-date results down roughly 1%. 2017 was a relatively cool summer and a very warm -- following a very warm summer season in 2016. Consolidated gross margin was 29.4% in Q3 '17 and also for the year-to-date results. This reflected a decrease of 2.4 points in the quarter and 1.5 points year-to-date. By segment, Engine Management gross margin in Q3 '17 was 29.4%, down 3.9 points and year-to-date was 29.7%, down 2.7 points. Our Q3 margin of 29.4% matched our margin last quarter. The margin reductions from last year are due to temporary plant move costs being incurred. Eric will discuss this further shortly. Temperature Control gross margin in Q3 '17 was 26.8%, up 0.2 points versus Q3 last year and year-to-date was 26.2%, up 1.1 points against last year. We are adjusting our production levels to reflect the soft 2017 summer season, which will impact margins in the first half 2018, but expect savings from our Grapevine closure to help offset much of this headwind. Consolidated SG&A expenses were down 6.5 million in Q3 versus last year, at 19.5% of net sales versus 20.4% last year, 0.9 points favorable. SG&A reductions in the quarter reflect savings from our General Cable integration with SMP; volume related controllable expenses and reduced incentive compensation expenses. For the nine months, SG&A expenses were up 3.2 million, primarily related to General Cable incremental expenses for the first five months of 2017, not present during that same period in 2016. Again, savings from the General Cable integration and lower incentive compensation costs allowed us to reduce SG&A as a percent of net sales for the nine months to 19.7% versus 20.4% last year. Consolidated operating income before restructuring and integration expenses and other income net in Q3 '17 was 27.7 million, 9.9% of sales versus 34.4 million, 11.4% of sales last year. And for the nine months was 85.1 million, 9.7% of net sales versus 86.7 million, 10.5% of sales last year. As stated earlier, we believe the incremental costs associated with our multiple plant moves are temporary in nature. We believe we can generate 16 million to 18 million savings from our 2017 levels once the moves are complete and achieving planned efficiencies. Moves are scheduled to be complete by mid-2018 with gradual improvements moving forward and total savings materialized on a run rate basis during the second half 2018. The net effect of our operational performance, as reported on our non-GAAP reconciliation, was Q3 '17 diluted earnings per share of $0.74 versus $0.92 last year and year-to-date diluted EPS of $2.28 versus $2.35 in 2016. In the third quarter, we recorded a $6 million noncash provision to raise our asbestos liability to 35.2 million. The after-tax impact in the quarter was a loss from discontinued operations of 4 million versus 0.4 million last year. Turning to the balance sheet. Accounts receivable increased 28.5 million since December and essentially flat against September last year. Receivables decreased roughly 25 million since the end of Q2 '17 on the lower Q3 sales levels. Inventories increased 20 million since December and are up roughly 30 million against September '16 levels. Inventory levels are slightly elevated due to our facility moves, which we should be able to wind down when the moves are complete. The 2017 soft summer season also impacted inventory levels, and we are adjusting production schedules appropriately. Despite the soft summer season, we did reduce inventories by 8 million in Q3 from June levels. Total debt at the end of Q3 '17 was 73.1 million. This reflects an increase of 18 million since December to fund our seasonal working capital needs. Total debt was reduced 6 million in Q3 from the June levels. Our year-to-date cash flow statement reflects cash provided from operations of 36.8 million versus 83 million last year. Changes in inventory, prepaid expenses and accrued expenses accounted for the majority of the change. In Q3 '17, we completed our 20 million share repurchase plan. During the nine months '17, we repurchased 431,941 shares, total cost 20 million at an average price of $46.30 per share. To recap the Q3 quarterly results, the soft summer season was disappointing, but this is the nature of a seasonal category with strong and weak seasons that even out over time. The lower Engine Management margins were as expected and discussed in our Q2 earnings call. The incremental costs currently being absorbed will be eliminated once moves are complete. We feel we can generate savings from our current levels in the 16 million to 18 million level and are optimistic that we will be a stronger, leaner organization at the end of 2018. Thank you for your attention. I'll now turn it over to Eric.
Eric Sills: Thank you, Jim, and good morning, everybody. This was a challenging quarter, but for specific and short term reasons. And once we get past these temporary issues, we are confident that we'll be a stronger company than ever. Each of the two divisions contributed to the shortfall differently, so it's easiest to explain by reviewing them separately. Jim has already explained it in the numbers, but I'll provide some additional color. Temperature Control sales, for self-explanatory reasons, are weather dependent and can vary up or down year-to-year. 2016 saw record heat, so coming into 2017, we knew that the comps would be difficult. For the first half of 2017, our customers placed above average preseason orders as they prepared for what we all hoped would be another hot summer and were up 9% in purchases in the first half over the previous year, but the summer didn't materialize. Our customers' sales out for Q3 were down approximately 10%, but their purchases from us were down 16%, reflecting their sell-down of the preseason build. The combined result is that we are now down about 1% for the year. However, our customers’ year-to-date sales are down about 5%, so we expect the potential for a soft Q4 as they continue to work their inventory down further. I should note that when I refer to customer POS, it's an approximation based on a sizable portion of our customers, but not the entire customer base. Meanwhile, we're very pleased with our improvement in profitability within the Temperature Control business and this is the result of the benefits of some recent activities. We are nearly complete with the move of production from Grapevine, Texas to Reynosa, Mexico, although there is still some to be gained, as we transfer the last of production lines by the end of this year. We are also seeing some very nice improvements from our joint venture in Foshan, China. You'll recall, we acquired half of one of our main suppliers there and have been working hard with them on significant operational improvements to make them more efficient and effective. Next year the cycle will begin again, and as always, it'll depend on the weather. But as we have said, we can't control that, but we want to get to where we do great if it gets hot but still do well from a margin standpoint when the heat doesn't materialize. And I think with our current cost structure of being almost entirely a low-cost producer, we have accomplished that. All right, let's move to Engine Management. Jim has shared with you the quarter-over-quarter sales changes, all resulting in a year-to-date increase of about 2%, excluding the impact of General Cable. As we've always said, due to the lumpiness of how our customers order from us, we can see some variation quarter-to-quarter, and as such, it is better to look at us across a longer horizon. And the 2.2% is in line with our guidance of low single-digit organic growth. Engine Management gross margins continue to be lower than last year. And as discussed in our last call and by Jim earlier on this call, this is largely the result of the known and planned costs associated with integrating our GC acquisition as well as the other plant moves underway. And while these costs are painful while they are occurring, we know that they are relatively short-term and lead to great improvements once the moves are complete. So let me go through them. Two are physically complete. We have relocated all of our ignition coil production from Greenville, South Carolina to Poland and moved our diesel products from Grapevine, Texas to Greenville. The receiving locations are doing terrific, but that said, it does take a little while for them to come up to full productivity, and while we are close, we are not all the way there. Two other moves are ongoing. The biggest is the integration of General Cable. To remind you, we acquired this in May of 2016, and we are very pleased with the business so far. Sales have been solid. We've retained all of the accounts, and we are shipping at high service levels. Last year, we consolidated distribution and certain back-office and sales functions, all of which are working quite well and are reflected in reduced SG&A expense. But the heavy lifting of the consolidation didn't really begin until this year as we set out to combine the two manufacturing locations by relocating all of their production from Nogales, Mexico to our plant in Reynosa. This relocation has caused various temporary costs. As we transition production, we are experiencing ramp up inefficiencies as the receiving location comes up to speed, expenses resulting from hiring and training hundreds of new employees and various other costs associated with production moves. This has been somewhat exacerbated as we are experiencing a tightening labor market in Reynosa. We're able to get the people, so it hasn't slowed us down, but we are experiencing higher than usual turnover of these new recruits. And this creates a continuous and expensive cycle of hiring and training. It's important to note that this churn happens within the first month of employment and then settles down. We transferred several manufacturing lines already, but we won't be finished until the end of the first quarter of next year, and until then, we expect these costs to continue. However, we believe the worst is behind us. A major hurdle was overcome in the third quarter as we completed the expansion of the building. To remind you, we did not have enough space in the existing building and needed to expand it substantially. Until that was done, we were operating very inefficiently, utilizing an outside temporary space. By the end of Q3, we exited this outside space and can now also accelerate the moves from the pace of the first half of the year. Therefore, we believe we will see quarter-over-quarter improvements until we're back to normal in the second half of next year. The second move underway is the relocation of our Orlando electronics plant into Independence, Kansas, which will be complete in the middle of next year. We moved about half the production and the transition is going quite well, but the savings don't really begin until we close Orlando and exit all of the duplicate overhead. The other trend having an impact on our engine management margins, although to a much lesser extent than the plant moves, relates to a sales mix shift. We've recently seen an increase in our OE business, both as a result of the general cable acquisition, of which a full third of the business was OE, as well as the success of our compressed natural gas or CNG injector program, which I'll speak more about in a minute. OE business has inherently lower gross margins, but also has lower SG&A, so net profit remains healthy. So as for new business, there is this one area that I would like to spotlight, which is our CNG injector program. As mentioned earlier, we are seeing a nice uptick in sales of this program, which is for heavy-duty vehicles mostly in China. A couple of years ago, we developed a truly better injector but the market was slow to develop. In the past several months, due to changing regulations in China which is incentivizing the adoption of CNG systems, the demand has gone through the roof and we are struggling to keep up. It will not have a huge impact on 2017 as we are just ramping up, but we’re rapidly expanding capacity and expect this to be a very strong program in the future. So in closing, we continue to have a strong place in a strong and stable market and, while there are some short-term issues we are dealing with, the fundamentals have not changed. Once these short-term issues are behind us, we'll be stronger than ever. So as such, we remain very bullish about our future, but we couldn't do it without all of our 4,500 people all helping to make this happen. So I want to thank them for all that they do. And with that, I will turn it back to the moderator and we'll open it up for questions.
Operator: [Operator Instructions] And we'll take our first question from Bret Jordan with Jefferies. Your line is open.
David Kelley: It's David Kelley on for Bret this morning. Just a quick couple questions here and, I guess, if we see a continued reduction in inventory levels heading into year end, are we facing some opportunity, looking primarily to 2018, where maybe we have revenue growth that's kind of upside to your longer-term outlook on expectations here, particularly if we see an industry rebound that we've all been kind of waiting for, for a couple years now?
Eric Sills: Are you referring, David, to inventory in the field, I assume, customer inventory?
David Kelley: Yes, customer level inventory.
Eric Sills: You got to look at the two divisions separately and I think you're probably referring to Temperature Control, where we've discussed the likelihood that the customers continue to settle down what they have rented and purchased more from us. A lot depends, you know, it's a highly seasonal and weather dependent business. So coming into next year, it depends on what their inventories are like going into it and how optimistic they are really for the 2018 season as to what they do in the first half of next year. But then again, it's going to depend on whether it does get hot. We think that their inventory should be well in line with what they would want by the end of the year. So the cycle starts over.
David Kelley: And I guess just shifting gears to kind of the margin discussion here. It sounds like some of the facilities have been completed, but ramping here, and now that we have others still ongoing. Is 2019 the year that we're looking for, for kind of the new and improved long-term margin trajectory? And I guess maybe if you could update us on your thoughts on longer-term margins as well, that would be great?
Jim Burke: Okay, David. This is Jim Burke. Yes, so we're targeting mid-2018 to have all the moves complete. But again, some of that will be flowing through inventory for the savings that we have. And we say on a run rate basis in 2018, we get the savings we've talked about 16 million to 18 million. So the full impact is 2019. Again, moving back to where the margins are. We project that we'll bring Engine Management margins back 31%, 32%. Temperature Control margins, we're waiting to complete a full year, but we've said now with the savings that we'll be 25%, 26% there and looking to build on those. So the company has really expanded our engineering efforts and cost-reduction initiatives. And as you said, 2019 will be the full year of savings, but our day-to-day blocking and tackling is for incremental improvements moving forward.
David Kelley: And then one more from me and then I’ll pass it along here. Just a quick one on the OE business you referenced. Anyway you could kind of A, size that up for us and, B, give us an idea of maybe the growth opportunity for you in OE?
Eric Sills: Our overall OE business sits at right around 11%. If you go back a few years, it was more around 8%. So that's been what that change has been. What we have really tried to do over the past few years as we pursue this business is to be more selective in what we chase. We're not chasing every opportunity; we're only chasing those where we think we have a compelling story and a competitive advantage. So the areas that we've been focusing on is this injector program that I've spoken to, which I'd be happy to elaborate on if you wish. As well as activities out of our Poland plant, which is very well suited to the OE business because it's got a great combination of a low cost structure and high technical capability. So we're working on several different programs, and we probably have more cooking than we ever had in the past. But it's important to note that with OE business, the overall life cycle is much shorter than it is with the aftermarket business. You really have to continually be replenishing it because it falls off the back much quicker.
Operator: [Operator Instructions] We'll now go to Matthew Paige with Gabelli. Your line is open.
Matthew Paige: Thanks for all that color on the segment movements. That was really helpful. I just wanted to pick up on where you just left off with the injector program and maybe you could speak to how big that market is? And what benefits your technology provides?
Eric Sills: Sure. In terms of sizing it, we're not discussing the overall size. We think that that’s just for competitive reasons we'd rather not disclose how big the overall business is. But it could end up being reasonably sizable, well into the, you know, north of $10 million or so. But in terms of what the better mousetrap really is, is we've developed an injector that, first of all, is much more durable than the incumbents and this is going on very - on heavy-duty vehicles where the life cycle expectancy is critical, but it also has better flow, it flows more fuel than the competitors. And therefore, they are able to use fewer injectors in the system, so as such to get the same amount of overall fuel delivery. So as such it's really being very well received in Asia. So we're going on a lot of new truck production there. And as long as China continues to emphasize CNG over the traditional diesel engines over there, we think we have a great program ahead of us.
Matthew Paige: And then, maybe to take a step back, you also provided some more color in terms of the asbestos liability. Could you provide maybe some of the puts and takes in the changing of the estimate? And what would drive it to either end of the range that you provided?
Jim Burke: Yes, its Jim Burke again, Matthew. Just to refresh everybody's memory there, this program has been in place, we've been responsible for it back since, I think, it's 2003. The projections are out to the year 2060. Again the range that we had in there was 35 million to 54 million that’s there. No single number in the range have we identified, so that's why we picked the low end of the range. But what I'll say is, over the 15-plus years that we've been having it, it's been very steady. The costs that we've been incurring there, we’ve had a couple of years where the actuarial report was trending down. This year, it was just a minor adjustment up that we brought it back up to $35 million. So I would say no significant changes over this year or the past number of years. And we think that this is winding down, again, we exited the business, it was a brake business back in 1998. So again we're almost over 20 years or coming up on 20 years out of this business.
Matthew Paige: And then lastly for me, you noted one with the CNG injector, but are there any other new technologies that you're looking at either organically or perhaps in the acquisition pipeline?
Eric Sills: Organically, we're always evolving our product offering to see what the new vehicles have. And so - and that's been something we've been doing for the last 100 years as new technologies come out, and we think it's something that we can play in, we start to move in that direction. So we are seeing more opportunities as it relates to new means of getting more fuel economy or better emissions controls out of existing combustion engines. So whether it's cylinder deactivation, start-stop systems, turbo charging, et cetera, those things that are getting more out of those engines versus - as well as getting somewhat into traction control, stability control, collision avoidance-type systems, as the world potentially moves in the direction of autonomous vehicles. So we're always keeping an eye on these technologies and adding them where we think we can play. In terms of whether we think there are acquisition-opportunities into newer technologies, that is always something that we look for as we look at - as we seek candidates, as we seek targets are those that can help take us into the future. So yes, I'd say that we are always looking for that.
Operator: [Operator Instructions] We'll now go to Christopher Van Horn with FBR Capital Markets. Your line is open.
Dan Drawbaugh: This is Dan Drawbaugh on the line for Chris, thanks for taking our questions. I wanted to start on the aftermarket demand environment, which seems to be a little bit mixed just from the industry level. But I was curious to know if within your product portfolio, are there any particular lines or categories that may be seeing sort of outsized growth or particular demand from any customers?
Eric Sills: We always have products in various stages of the life cycle. So we have things that are dropping off the back, while others are moving up as they start to hit their replacement cycles. So the obvious one that we have talked about falling off the back is wire and cable, which is in decline by, call it, 5% a year. But we are seeing that replaced with newer technologies, whether it's getting into variable valve timing, ignition coils is always a growth category as a tried-and-true technology that the car manufacturers continue to embrace. So we got just an engine management alone over 45,000 part numbers, and they're at all different stages of life cycle. And so you're seeing every possible demand curve with them.
Dan Drawbaugh: And then turning to the efficiency opportunity here $16 million to $18 million once you're at the run rate. Can you kind of put that in more of a stepwise framework as we move through 2018, how do we get to those synergy levels? Is it more of a step function once you complete the moves or are there steady gains along the way?
Jim Burke: We think, and we said this at the end of the second quarter and matched the Engine Management margin in Q3, again, at [indiscernible] obviously nothing is certain that's in there. We think we're at the low point there that from this point we'll have incremental savings, but there is a significant savings when we do shut the doors and exit the final facility that's there. So we'll have steps savings moving forward through mid-2018. I don't have it quantified to where we can break it down exactly by quarter there. From this point, you'll see savings moving through and then at the end of - the mid-2018, you'll see the full savings starting to materialize on a run-rate basis.
Operator: [Operator Instructions] At this time we have no additional phone questions.
Larry Sills: Okay. Thank you very much. That concludes our third quarter presentation and thank you all for attending.